Operator: Good morning, ladies and gentlemen, and welcome to Kelly Services’ Third Quarter Earnings Conference Call. All parties will be on listen-only until the question-and-answer portion of the presentation. Today’s call is being recorded at the request of Kelly Services. If anyone has any objections, you may disconnect at this time. I would now like to turn the meeting over to your host, Mr. Carl Camden, President and Chief Executive Officer. Sir, you may begin.
Carl Camden: Thank you, John, and good morning, everyone. Welcome to Kelly Services’ 2015 Q3 conference call. With me on today’s call is Olivier Thirot, our acting CFO; and George Corona, our COO. Let me remind you that any comments made during this call, including the Q&A, may include forward-looking statements about our expectations for future performance. Actual results could differ materially from those suggested by our comments and we have no obligation to update the statements made on this call. Please refer to our SEC filings for a description of the risk factors that could influence the company’s actual future performance. As we walk through our quarterly results this morning, let me point out that year-over-year comparisons are represented in constant currency due to ongoing volatility in foreign currency exchange rates. I’ll also point out that as an additional resource to help you navigate our Q3 results, we published a slide deck on the Investor Relations page of our public website summarizing our key financial performance indicators. Now turning to Kelly’s Q3 results, I am pleased to report we once again delivered good performance and solid operating leverage. Revenue for the quarter was $1.4 billion, up 3% year-over-year. Our gross profit rate was 16.9%, an increase of 80 basis points compared to Q3 last year. All told, we achieved earnings from operations of $16.6 million for the quarter, a 51% improvement over last year’s Q3 operating profit in nominal currency, excluding the 2014 restructuring. Kelly’s third quarter earnings from continuing operations in nominal currency were $0.23 per share compared to earnings of $0.10 per share for the same period last year, excluding the 2014 restructuring charges. Our Q3 earnings were negatively impacted by $0.06 per share due to currency. Overall, we are very pleased with Kelly’s performance during the third quarter. We delivered strong operating leverage dropping nearly 50% of our Q3 GP dollar growth to the bottom line again excluding our 2014 restructuring. Now let’s take a closer look at the performance in each of our business segments starting with the Americas. Total staffing revenue in the Americas decreased 1% in the third quarter compared to the same period last year and this is down from the 1% increase we reported in Q2 and the revenue decrease is primarily due to our commercial segment. For the quarter, America’s commercial revenue was down 1% year-over-year compared to the flat revenue growth we reported in the second quarter. As discussed on our last earnings call, we had some specific items impacting our commercial growth. We exited several large clients late in 2010 due to price discipline. We began to anniversary significant new KES wins from 2014 and we have had an impact on our natural resource clients from the low price of oil. These items continue to impact our Americas commercial growth in Q3. Americas PT revenue for the quarter grew 1% year-over-year, about the same rate we reported in Q2. Consistent with the trends we saw last quarter, growth in PT revenue on our local branch network remain strong while we continue to experience revenue declines within our centralized accounts. As stated on previous calls, given the operational changes in 2014 to service our clients through two different delivery models, it’s useful to look at our results through that limb. In the account service through our local U.S. branch network, commercial staffing revenue was up 5% year-over-year in the third quarter compared to the 7% increase we reported in Q2. This change is entirely attributable to anniversary of the significant Kelly educational staffing customer wins during 2014. We are pleased with the continued gains we are seeing in our core light industrial business as well as continued double digit growth in KES, which achieved 15% year-over-year growth for the quarter. Excluding KES, the growth rate in local commercial revenue and our branch network accelerated to 4% compared to the 2% growth experienced in the second quarter. The year-over-year growth rate in our branch network PT business was 17% for Q3, up from the 15% growth reported in Q2. This strong performance in revenue and a continued healthy pipeline are the result of the investments we made in our PT branch network in 2014. Looking at our large centrally delivered customer model, commercial revenue decreased 13% year-over-year for the quarter compared to the 11% decline in Q2. As I stated earlier, it is this segment of our business that is most impacted by both our pricing discipline and by the impact of low oil prices on our large natural resource customers. In our centralized PT business, revenue was down 4% year-over-year, slightly lower than the 3% decline we reported in Q2 and that decline is a result of the shift we are seeing in customer buying behavior as they purchase more of their PT business through competitive sourcing models rather than through single source arrangements. On the other hand, we are experiencing the positive impact of this trend in our OCG business which I’ll discuss later. Looking at PT across the Americas, our finance and science products are our best performers with science revenue up 3% year-over-year compared to the 2% growth last quarter and finance continuing its strong growth up 37% year-over-year compared to 38% growth in Q2. Our Engineering business reported a 4% decline in Q3 consistent with the 4% decline in Q2, these declines were primarily the result of the completion of a few key centralized projects from last year. IT revenue in Q3 was down 2% year-over-year compared to the growth of 3% in Q2 and the decline is primarily due to various customers moving away from a traditional staffing model to an outsourced service model delivered by our OCG business. Perm fees in the Americas were up 7% in the third quarter compared to last year. This compares to the 19% growth in fees in the second and 3% growth in the first quarter. While down from our second quarter performance, our Q3 growth rate remains solid and up strongly from Q1. Commercial fees were up 3% for the third quarter while PT fees were up a healthy 10%. Overall, our fee pipeline remains strong as we continue through the final quarter of the year. Americas gross profit rate was 16%, up 110 basis points year-over-year due to a continued favorable business mix and pricing discipline combined with lower payroll taxes and workers compensation expense. Americas expenses for the third quarter were up 5% year-over-year primarily due to higher salaries and incentives in our local branch network as a result of the strong growth we are seeing in that model. All told, the Americas delivered $24 million of operating profit in Q3, up 19% year-over-year another strong quarter for the segment. Let’s now turn to our staffing operations outside the Americas starting with EMEA. Revenue in EMEA was up 4% in the third quarter compared to last year, with our commercial business growing 3% and our PT business up 8% year-over-year. We achieved solid growth of 5% in Western Europe, with Portugal and France up 20% and 7% respectively partially offset by Switzerland which was down 9% due to the impact of strong currency in the local economy. In Eastern Europe, we were up 7% year-over-year driven by an improvement in our temporary staffing business in Russia. Other regions within EMEA are down 4% primarily due to lower volume in Norway. Fee-based income for the quarter was down 5% year-over-year with declines in both commercial and PT, particularly in Russia. EMEA’s GP rate for the third quarter was 15.3% compared to 15.9% for the same period last year. The overall GP decline is primarily attributable to the decrease in perm fees as well as unfavorable country mix. Expenses were down 6% as we continue to see the benefits from effective cost control across the region. Netting it all out, EMEA reported an operating profit of $5.3 million compared to $4.5 million last year an improvement of more than 50% in constant currency. Revenue for the APAC region grew by 10% year-over-year with strong growth in both commercial and PT. Growth was mainly driven by double digit temporary staffing growth rates in Australia, Singapore and India, partially offset by a 20% year-over-year decline in perm fees in the region. The GP rate declined to 14.2%, a 60 basis point drop compared to the prior year, again primarily the result of declining perm fees. Excluding restructuring charges, expenses were down 7% versus the prior year, as we continue to see the benefits from effective cost control across the region. The APAC region ended the quarter with an operating profit of $2.1 million, a $1.3 million improvement over the same period last year, excluding restructuring. Now, we will turn from our staffing results to the performance of our outsourcing and consulting segment, OCG. OCG delivered strong year-over-year sales growth. Revenue was up 17% in the third quarter compared to the last year, and gross profit increased by 18%. The sales increase was driven mainly by significant growth in business process outsourcing, BPO, and contingent workforce outsourcing, CWO. BPO revenue grew 30% for the quarter and gross profit increased by 40%. As mentioned on our last call, within Kelly Connect, our contact center BPO business, we incurred project specific expenses in the first half of the year to support anticipated revenue growth in the second half of the year, then we began realizing this revenue in the third quarter as Kelly Connect delivered revenue growth of 79% and gross profit increased more than 100%. Our BPO STEM project business revenue grew by 43% and gross profit increased by 57%. On the downside, we have seen declines in demand within our legal BPO business. In CWO, revenue increased 13% for the quarter and gross profit increased 21% year-over-year. These results reflect growth in our program management fees, as well as strong growth in our payroll process outsourcing business in addition to improved customer mix. The volume growth came from both existing and new customers. In our RPO practice revenue declined 23% year-over-year for the quarter and gross profit declined 34%. As we stated in previous quarters, the decline is primarily due to lower volume across our natural resource customers. And we expect that the challenges within this industry will continue to be reflected in the results of our RPO practice. Overall, OCG's gross profit rate was 24.1% for the quarter an increase of 23.9% last year. Expenses in OCG were up only 6% year-over-year, we are pleased with the leverage we are seeing in OCG. They turned in an operating profit of $8.2 million for the third quarter up more than 100% from last year's operating profit of $3.6 million. Now, I will turn the call over to Olivier who will cover our quarterly results for the entire company.
Olivier Thirot: Thank you, Carl. Revenue totaled $1.4 billion, up 3% in constant currency compared to the third quarter last year. In nominal currency that’s down 3.2% with the difference caused by the continued weak global currency. So, the negative impact of foreign currency on our revenue growth trend was over 600 basis points in Q3, slightly higher than the impact we have seen in Q2. Now, consistent with Carl for the remainder of my comments, year-over-year comparisons are represented in constant currency. Staff and placement fees were down 6% year-over-year as we continue to experience declines in EMEA and APAC. That more than offset the 7% growth we saw in the Americas. In constant currency, overall gross profit was up by $16.3 million, so more than 7%. Our gross profit rate was 16.9%, up 80 basis points when compared to the third quarter last year. Our GP rate reflects effective management of temporary employee payroll tax and benefit expenses combined with continued price discipline in the U.S. In addition, GP for the quarter was positively impacted by the seasonal GP growth in our Kelly connect business and a favorable adjustment to workers compensation expenses. This was partially offset by lower perm fees outside of the U.S. More information regarding our GP rate is available in our Q3 financials slide deck, which is posted on our website. SG&A expenses were up 3.9% year-over-year, excluding the impact of prior year restructuring charges, which reflect continued expense leverage of nearly 50%. Our Q3 result reflect higher salaries and incentive expenses in our U.S. branch-based business as a result of revenue growth and also include the impact of changes in the timing of the expenses related to certain incentive and benefit plans for our corporate services employees. Partially offsetting these increases were continued cost management efforts in EMEA and APAC and the impact of last year's management simplification plan. We are confident that expenses on a full-year basis will continue to reflect our ongoing commitment to manage expenses in-line with GP growth. And as a reminder, included in Q3 2014 results were $4 million of restructuring cost. Earnings from operations were $16.6 million in the third quarter, compared with 2014 earnings, excluding restructuring charges of $11.1 million. These results reflect continued operating leverage similar to the first half of 2015, which nearly 50% of our GP growth dropped to the bottom line on a constant currency basis, excluding the 2014 restructuring. Income tax expense for the third quarter was $7.5 million, compared to $3.5 million reported in 2014. The increase is driven by higher overall earnings before tax. Diluted earnings per share for the third quarter of 2015 totaled $0.23 per share compared to $0.10 excluding restructuring charges in 2014. Our Q3 earnings were impacted by $0.06 per share due to negative currency impact. Looking ahead, for the fourth quarter, we expect constant currency revenue to be up 5.5% to 6.5% as we expect continued growth in our local branch network staffing and OCG businesses, as well as the impact of the 53rd week. The 53rd week impact is estimated to result in approximately 2.5 additional working days. As we have previously stated, the 53rd week is included in our current guidance. We expect the gross profit rate to be up year-over-year reflecting continued improvement in payroll tax combined with pricing discipline and a favorable business mix in the U.S. Turning to SG&A based on our current projections of revenue growth, we expect SG&A expense to be up about 2% to 2.5% reflecting our continued cost discipline, partially offsetting by expense to ship of growth in growth areas of the business. Our 2015 annual income tax rate is expected to be in the low 40% range, excluding work opportunity credits. As you may be aware, work opportunity credits expired at the end of 2014 and at this point we don't know if or when they will be renewed. If work opportunity credits are reinstated, our annual tax rate is expected to be 20 percentage points lower. As a reminder, in the quarter of the renewable, the tax rate could be in the low single digits or even negative. As discussed, the continued weak currency have impacted our Q3 earnings operation and we do anticipate that we will continue to see such effects over the rest of the year. Because such impacts are inherently difficult to predict we can't provide any further guidance on such effects at this time. Turning now to the balance sheet, cash totaled $45 million, compared to $83 million at year-end 2014. Accounts receivable totaled $1.2 billion and increased 3% compared to year-end 2014. Global DSO was 67 days down one day from the same quarter last year and reflects our continued focus on driving DSO improvements. Accounts payable and accrued payroll and related tax totaled $698 million, up 4% compared to year-end 2014. At the end of the third quarter, debt stood at $77 million, down $15 million from year-end 2014. Debt to total capital was 8.2%, down from 9.9% at year-end 2014. In our cash flow year-to-date, we've used $1.5 million of net cash for operating activities, compared to using $109 million for operating activities last year. The change was due mainly to lower growth in trade accounts receivable due in part to improve DSO, as well as improving net earnings. And for the quarter we generated $19.4 million of free cash flow, compared to negative free cash flow of $7.6 million in the same period a year ago. As laid [ph] by Carl, we want to remind you that the slide deck regarding the Q3 financials is available on our website. I’ll turn it back now over to Carl for his concluding thoughts.
Carl Camden: Thank you, Olivier. Our third quarter results confirm that Kelly is operating as a more efficient organization. We are committed to delivering both top line growth and operating leverage consistent with the first half of 2015, and we dropped nearly 50% of our GP growth to the bottom line during the quarter, excluding 2014 restructuring. Our 2014 investments in PT and OCG are yielding results and we’re delivering on a strategic plan that aligns with critical market trends. Accounts serviced through our U.S. branch network are delivering strong sustained growth in our PT specialties, while continuing to grow Kelly’s commercial core. Our investments in local PT markets are yielding solid results, our expanded sales force is pursuing and winning new business while our PT recruiting centers are filling new orders with specialized talent. We are extremely pleased with the PT growth we are seeing in our U.S. branch network and we expect this trend to continue through the balance of the year. Our centralized large account portfolio remains more vulnerable to client specific fluctuations as the impact of low oil prices continues to affect our large natural resources customers, we are maintaining our commitment to price discipline and ensuring our operating expenses are in line with demand. We are also taking steps to address the shift we are seeing in our centralized PT business. As large customers evolved their workforce management strategies and transition from single source to competitive source models, we are adjusting our centralized recruiting to maximize efficiency and productivity. And it is worth noting that as existing customers transition their PT business to a competitive source model, it provides Kelly the opportunity to advance our talent supply chain management strategy. In fact, the growth we are experiencing in CWO where we earned fees by managing competitive source models is a direct result of this customer trend. And as we win new large clients who allow Kelly the bid on their PT staffing business, we will have additional opportunities to add staffing revenue back into our centralized model. Looking at our international Q3 performance, we are pleased with the results from both of our EMEA and APAC segments. APAC delivered nice leverage from increased commercial and PT revenue and lower expenses in the third quarter, and we continue to see nice PT growth and effective cost discipline in EMEA where market conditions remain mixed. Our OCG segment continues to perform well bringing new clients into Kelly’s portfolio and expanding current relationships. And though we expect RPO to face challenging headwinds, our BPO and CWO specialties are delivering strong results as more clients adopt our talent supply chain management approach. Recent MSP wins confirm that many of the world’s largest companies are becoming more strategic about their global workforce plans and they are turning to OCG for innovative solutions that help them acquire and manage their talent more holistically. We will capture growth opportunities in the outsourcing and consulting market and we continue to expect OCG revenue and gross profit growth in the 15% to 20% range for the full year. As a whole, we are very pleased with Kelly’s third quarter performance and our ability to deliver strong GP improvement and sustained earnings growth. With the increased global demand for skilled workers, we expect to capture additional opportunities for PT growth while delivering leverage in our core staffing business throughout the remainder of the year. As we continue our investments and drive top line growth in OCG, we will continue to expand Kelly’s role as a trusted talent advisor to many of the world’s top companies positioning us for long term success. We are focused on delivering growth in Q4 capping off a year of strong growth and capturing Kelly’s share of the expanding workforce solutions market. Olivier and I will now be happy to answer your questions along with George Corona, our Chief Operating Officer. John, the call can now be opened for questions.
Operator: [Operator Instructions] And we have Toby Sommer with SunTrust. Please go ahead.
Carl Camden: Hi, Toby.
Toby Sommer: Good morning. Thank you. Carl, what were trends like within the quarter and in October because there was somewhat of a softening of economic data and I’m curious if your business trends reflect that or had a different monthly trend in recent months.
Olivier Thirot: We don’t have the full numbers and information for October but as far as I’ve seen there is no change one way or the other on the trends we have seen before.
Carl Camden: We don’t have any trends Toby from our customer saying anything different either.
Olivier Thirot: You would have seen a more tempered tone in our comments here if we have been seeing downward pressure.
Toby Sommer: Okay. Have you perceived a change in planning horizon in project length among your customers?
Carl Camden: No, not. We haven’t seen anything like that at all. It’s really been pretty steady throughout the year the way customers are dealing with us.
Toby Sommer: Okay. And I had a question about the RPO business. It’s down on the natural resources and that makes sense. How big a proportion of your RPO business comes from that industry and customer set?
Carl Camden: Toby, we don’t give the number but what I would tell you is it’s a meaningful part of that business and a substantial part of the drop that you see in the year-over-year.
Toby Sommer: Okay, that gets to my follow-up would be, are you seeing growth outside of that because we see substantial part of the drop I guess I could infer that overall even outside of that segment the business is down and I’m just curious as to how you may explain a decline outside of the natural resources area.
Carl Camden: Yeah. I would say that outside of the natural resources area, we are not seeing real big growth but what we are seeing is that our funnel is getting much better and we are working hard to offset that decline with new customers coming in.
Toby Sommer: Okay. Is it people new to RPO or is it contracts? Go ahead.
Carl Camden: Are you talking about clients?
Toby Sommer: Yeah. When you say the funnel is improving, is that customers that are new to RPO or renewal contracts coming up and becoming available?
Carl Camden: It would be both.
Toby Sommer: Okay.
Carl Camden: We are seeing it in both of those areas.
Toby Sommer: I’m just curious, Carl, where we sit right now with – you made good progress on the gross profit. Can you share with us any thoughts about your long term or even midterm operating margin goals? The firm did discuss those as we exited the last recession but here we are handful years if not six past that and I’d be curious about your updated thoughts on where you think you can take the company?
Carl Camden: It’s a time of flex as you see OCG growing and staffing tepid around the world and that has big impact on what types of return measure you look at. You hear us increasingly talking more about growth in GP dollars which are fee sensitive and a big part of the OC - and obviously a very fundamental part of OCG revenue. And I’m not ready to put a traditional margin number sitting out there that’s an ROS number because fundamentally Kelly’s revenue mix is changing and I’m much more concerned about the overall GP rate and the growth in GP dollars than I am on the revenue side and that affects just the way we look at returns, so not yet.
Toby Sommer: So let me understand, you focused on GP dollars but certainly that has a relationship to operating margin or EBITDA dollars and cash flow, so I guess I didn’t understand.
Carl Camden: The last number we put out was a return on sales number which is we say a few and obviously you remember what we talked about a 4% return which was looking at a traditional rebound from a recession, didn’t see the same, some of the industry shifts and let me put out that number we’ve experienced now, it’s different. So in reference to the 4% return on sales number, no, I’m not particularly willing to put out that number in terms of different types of operating margin perspective.
George Corona: I think the one thing, Toby, this is George, that you can expect is that over the course of time here, we expect every year to make progress on that goal.
Toby Sommer: Okay. Thank you very much.
Operator: [Operator Instructions] And Mr. Camden, no further questions coming in.
Carl Camden: Very good. Thank you, John.
Operator: Any closing comments?
Carl Camden: No, I think we are good. Thank you.